Operator: Good day, everyone. Welcome to the Manitowoc Co. Inc. Fourth Quarter and Year End Earnings Conference Call. At this time for opening remarks and introductions, I'd like to turn the conference over to Mr. Khail. Please go ahead, sir.
Steven Khail: Good morning, everyone, and thank you for joining Manitowoc's Fourth Quarter Earnings Conference Call. Participating in today's call will be Glen Tellock, our Chairman and Chief Executive Officer; Carl Laurino, Senior Vice President and Chief Financial Officer; Eric Etchart, President of Manitowoc Crane; and Mike Kachmer, President of Manitowoc Foodservice. Glen will open today's call by reviewing our 2010 accomplishments. Carl will discuss our financial results for the fourth quarter and provide our initial guidance for 2011. Then our segment presidents will offer insights into the market conditions and outlooks for their businesses for 2011. For anyone who is not able to listen to today's entire call, an archived version of this call will be available later this morning. Please visit the Investor Relations section of our corporate website at www.manitowoc.com to access the replay. Before Glen begins his commentary, I would like to review our Safe Harbor statement. This call is taking place on February 1, 2011. During the course of today's call, forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, will be made during each speaker's remarks and during our question-and-answer session. Such comments are based in the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The company does not undertake any obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or other circumstances. With that, I'll now turn the call over to Glen.
Glen Tellock: Thanks, Steve, and good morning, everyone. At the beginning of 2010, we communicated our expectations for continued challenging economic and operating environment. Nevertheless, we outlined aggressive operational and financial goals, which we largely met or exceeded in spite of the fact that our markets were every bit as tough as we expected them to be. The second half of 2010 was weaker than anticipated, which hindered us from reaching our targets for Crane sales growth and debt reduction. However, the progress that we made towards these and the achievement of other goals will have a positive long-term impact on our business. Our key priorities for 2010, were to successfully complete our Foodservice integration, further position our Crane operations for optimal performance and to reduce balance sheet pressure to improve our overall financial health. We have been very successful in delivering on all three of these priorities. First, we have exceeded the targeted cost and growth synergies associated with our Foodservice integration, which is a testament to both the leadership and employees within our Foodservice business, as well as the strength of our process and ability to integrate acquisitions. Although the integration is now complete, we see significant potential for additional cost savings and growth opportunities in 2011 and beyond. Our vision for this segment hasn't changed and we're on track with our plan as a clear leader in the food service industry. Second, our Crane segment has taken full advantage of the opportunities presented by the downturn to implement meaningful, operational efficiency improvement and a greater adherence to lean manufacturing principles. As a result of these efforts, operating margins in Cranes, in line with our guidance, remained well above those experienced in previous trough years despite the significant investments we have made in support of emerging market opportunities. In addition, we continue our commitment to delivering innovative products to our customers with the announcement of several new products throughout the year. And finally, we have made substantial progress towards minimizing balance sheet risk, diligent management of working capital along with the proceeds from the recent asset sale of Kysor/Warren have enabled us to pay down more than $1 billion in debt over the last two years in an extremely challenging economic environment. Additionally, our ability to refinance and extend our debt maturities with two separate bond offerings in 2010 took significant pressure off the balance sheet, allowing us to better position ourselves strategically to make necessary investments in our business as the operating environment improves. Looking at our segment performance. Foodservice once again performed well during the fourth quarter, posting year-over-year sales growth that solidly outpaced the industry coupled with healthy margin performance. The fourth quarter also represented the first quarter-over-quarter growth in Crane segment sales since the third quarter of 2008, even only fell short of our second half revenue target. In addition, strong order activity resulted in a significant increase in backlog. We're encouraged by this recent increase in demand and improvements in some key indicators that signal a growing recovery and confirm my belief that 2010 was a trough year in Cranes. When you look at the sum of our accomplishments over the past two years, amidst what may arguably be the worst economic turmoil in our lifetime, it's clear that we have the right strategy and the right people in place to drive long term growth and success. Turning to our 2011. Our seven company-wide strategic imperatives remain largely unchanged. From an operational standpoint, some of the areas we will be focused on include: First, continuing our long-standing commitment to improving safety targets across the enterprise. Second, become a leaner and more efficient company through expanded implementation of lean principles. Third, furthering our investments in all emerging markets, particularly Brazil and China. Fourth, maintaining our focus on innovation by investing in new product development and in the advancement of product rollouts to our global customer base. Fifth, continue to enhance our customer service and product support activities in both Cranes and Foodservice. And finally, generate continuing improvement and shareholder value via our focus on EVA. I will now turn the call over to Carl to discuss our fourth quarter financial results and to share our thoughts on initial guidance for 2011. Carl?
Carl Laurino: Thanks, Glen, and good morning, everyone. We reported net sales for the quarter of $831 million, which is an increase of $33 million or 4% from the fourth quarter of 2009. Operating earnings for the fourth quarter totaled $53 million, which is a gain of $21 million or 68% compared to the fourth quarter of 2009. Fourth quarter 2010 consolidated operating margin before amortization and one-time items was 7.6% versus 6.2% in the fourth quarter of 2009. The year-over-year margin improvement in Foodservice and Cranes was the result of increased sales, productivity gains and cost-saving initiatives. The GAAP net loss for the fourth quarter was $64 million or $0.49 per share versus a net loss of $24 million or $0.18 per share in the fourth quarter of 2009. Fourth quarter 2010 earnings included the reserve against the deferred tax asset of $49 million. This is a non-cash expense that reflects accumulative net operating loss division in France over the past several years. Although we expect to be able to utilize this indefinite-lived asset in the future, we have concluded that the proper GAAP action is to fully reserve for it at this time. Excluding this and other unusual items in both quarters, fourth quarter 2010 EPS was $0.11 per share versus a loss of $0.09 per share in the fourth quarter of 2009. We also wrote down the value of our Kysor/Warren business to its sale price, which resulted in a $10 million impairment charge net of tax in discontinued operations. Moving on to the balance sheet. We reduced our debt by $150 million during the quarter, bringing our full year debt reduction total to $164 million. During the year, we refinanced $1 billion of our debt by completing two bond offerings. Net of these from these two bond issues equivalent 2010 debt reduction was over $190 million. At the same time, the bond significantly improved our capital structure and financial flexibility. During the fourth quarter, we posted cash flow from operations of $157 million, driven mostly by decreases in accounts receivable and inventory versus $159 million in the prior year quarter. Moving on to our segment results. Foodservice sales in the fourth quarter of 2010 totaled $340 million, which increased 7% from the fourth quarter of 2009. Fourth quarter 2010 operating earnings in Foodservice were $42 million versus $40 million in the same quarter last year. Operating margins of 12.4% for the quarter were equal to fourth quarter 2009 margins. The year-over-year comparison was negatively impacted by fourth quarter 2009 earning strength, resulting from the launch of our smoothie machine in North America. However, on a full year basis, 2010 operating margins were 14.7%, which was a solid improvement over full year 2009 operating margins of 12.5%. Moving to the Crane segment. Fourth quarter sales totaled $491 million, up 2% from $480 million in the fourth quarter of 2009. Fourth quarter results were favorably impacted by a ramp-up in demand as customers finalize orders prior to the end of the year. Crane segment operating earnings in the fourth quarter were $30 million versus $18 million in the same quarter last year. This resulted in fourth quarter Crane segment operating margins of 6.2% compared to 3.8% in the fourth quarter of 2009. The fourth quarter Crane results were positively impacted by a reduction in inventory reserves at year end. This change in estimate resulted in an approximate 110 basis point increase to Crane operating margins in the quarter. Crane backlog at the end of the fourth quarter was $572 million, an increase of $124 million or 28% from $448 million at September 30, 2010. The significant increase in backlog was due to an uptick in orders towards the end of the quarter. In addition, our book-to-bill ratio was strong at 1.3, which was our best quarterly result since the second quarter of 2008. Before concluding my remarks, let me discuss our 2011 outlook. In Cranes, we expect to see low double-digit percentage full year revenue growth. We anticipate a benefit from our dealer network in the first half of the year as they prepare for end market recovery as the year progresses. For the full year, we expect Foodservice revenues will grow in the high single-digit percentage range and operating margin will continue in the mid-teens with moderate improvement versus 2010. In the Crane segment, full year margins are expected to increase modestly. As we stated previously, both our Crane and Foodservice businesses operate with seasonal strength in the second and third quarters. Other 2011 financial expectations include capital expenditures of approximately $70 million, depreciation and amortization of approximately $125 million, interest expense and amortization of deferred financing fees of approximately $175 million and debt reduction of $200 million. Considerations affecting our 2011 profit outlook include: higher SG&A due to non-recurrence of second and fourth quarter benefits in the Crane segment in 2010; reinstitution of some compensation austerity measures; higher R&D and engineering expenses; as well as higher tax expense due to improved profitability and geographic mix of profits. Our outlook for increased capital expenditures reflects our continuing investment in growth initiatives that we expect to benefit from in the intermediate term. Let me now turn the call over to Mike Kachmer, who will share his thoughts on the outlook for our Foodservice segment. Mike?
Mike Kachmer: Thank you, Carl. 2010 was a successful year for Manitowoc Foodservice, as we built on our 2009 successes and further extended our leadership position within the industry. As a result of our successful Foodservice integration, we enter 2011 poised for significant growth and increased profitability. We achieved our plan and grew greater than the overall market despite challenging conditions across many of our end markets. With the integration now complete, we stand as an industry leader across the majority of our product lines with customers spanning the globe who rely on us for equipment solutions that help strengthen their businesses. By manufacturing products of superior quality and innovation, we've created relationships with many of the fast-growing and innovative food service companies, who will look to us over the next several years as they continue to invest in their businesses. While we've discussed integration synergies and cost savings in great detail over the past two years, we have also invested significant resources in product development, which has allowed us to grow on the top line as well as on the bottom. Going forward, our key priority will continue to drive operational excellence across the organization by investing in our people, products and processes. In 2010, our investments in new product development and innovation yielded more than 50 new products and product variations, including our blend-in-cup smoothie unit and the Merrychef eikon oven, both of which were recognized with Kitchen Innovations honors at the NRA Show. In 2011, we expect to launch more than 50 additional new products, including a new line of ice machines that are an evolutionary upgrade to our S-Series Cubers and provide enhanced reliability, sanitation and serviceability. We also continue to focus on accelerated cooking and smoothies as growing disciplines in categories, and we'll continue to capitalize on growth opportunities within each of these areas. In addition, several of our brands, including Frymaster, Delfield and Faber Steel [ph] have been recognized for their innovation, quality and product support and supplier work programs sponsored by several major chain customers. Finally, we have also invested in processes, such as our manufacturing and business consolidation strategies in order to drive increased efficiency. In 2011, we will continue our consolidation and rightsizing initiatives and also focus on implementing world-class manufacturing standards. From an end-market perspective, the Americas and Asia continue to show the greatest growth while Europe remains challenging. We expect this trend to continue in 2011. According to recent reports by the National Restaurant Association, consumer spending in restaurants has been on a positive trend as reflected in same-store sales. And over the past several months, NRA has also reported higher operator expectations for additional capital expenditures led by the quick service and limited service sectors. These trends are reflected in the public reporting of many of our major chain customers, many of who are reporting strong sales growth, accelerated building plans and continued investment in Asia and other emerging markets. As we enter 2011, we remain true to our vision from Manitowoc Foodservice and we'll continue to drive growth by gaining additional market share, embracing growth areas as customers make new investments in their businesses and leveraging multiple global opportunities as the market expands. With that, I'll now hand the call off to Eric Etchart for his views and the outlook on the Crane segment.
Eric Etchart: Thank you, Mike. In 2010, the global Crane market remain depressed and at times volatile and unpredictable. However, as the year progressed, we saw increasing signs of market improvement, which resulted in a strong order pattern in the fourth quarter that drove quarter-over-quarter revenue growth plus a sequential increase in backlog. From our vantage point, it appears we have reached an inflection point as the emerging market demand continues to be strong in areas such as Latin America, the Middle East, India and the Far East. Our Crane CARE business also continues to show solid growth as increased bulk shipments are signaling that more Cranes are going back into service. We are also seeing dealers beginning to restore their inventories in the U.S. and portions of Europe as their customers prepare for an uptick in new products start up later in 2011. Additionally, the architecture of buildings index increased to 55.2 in December, its highest level since November 2007. As I have discussed in prior calls, we have taken advantage of a recessionary environment by focusing on productivity initiatives, innovation to strengthen the operations and product portfolio of the segment and increasing our focus on customer support ahead of the macroeconomic rebound. During 2010, we introduced several new products and product enhancements across all our Crane brands. We expect to see the benefits of these new products throughout 2011. More importantly, we will introduce more than 12 new products this year, expanding our Crawler, Tower and Mobile Telescopic categories to enhance our competitive position globally. We also drove further improvements in our manufacturing efforts throughout the year by embracing Lean Six Sigma principles to drive improve quality and product reliability, as well as greater operational efficiency to help reduce waste, improve lead times and become a more efficient and profitable business. As we look to 2011, we are excited about the opportunities for our business as customer confidence is growing in all the geographies we serve. And while we don't expect to shot to recovery like the previous cycle, we know that things are moving in the right direction and we will certainly work to maximize the opportunities that the market presents. With Crane utilization rates now nearing reinvestment levels, coupled with improved rental rates and dealers now starting to restock, we believe that 2011 will be a year of marked improvement. We should get further confirmation of that expectations at the CONEXPO Trade Show next month. With that, I will turn the call to Glen for his closing comments. Glen?
Glen Tellock: Thanks, Eric. Although continued economic weakness in 2010 posed significant challenges to both of our segments, we did set aggressive targets to improve the long-term health and positioning of our business. We enter 2011 a much stronger organization with our Foodservice integration complete and the belief that 2010 was a trough year for Cranes, we view the next 12 months as a transition year for Manitowoc. There are several opportunities for additional investment within our business that will further position us to extend our leadership position and deliver meaningful results for all of our stakeholders. As such, while we anticipate year-over-year growth to return to both our operating segments in 2011, our expectation is that we will see significant acceleration in both top line growth and profitability in 2012 and beyond. This concludes our prepared remarks. We will now begin our question-and-answer session. James?
Operator: [Operator Instructions] We'll take our first question from Seth Weber with RBC Capital Markets.
Seth Weber - RBC Capital Markets, LLC: I guess just first a clarification. The 110 basis points of margin benefit in the Crane segment, can you just -- what was that again?
Carl Laurino: It was essentially a change in estimates, Seth, by virtue of the fact that you're -- not atypical of the trough especially when you reach an inflection point and the consumption starts to get a little bit higher. The amount of reserve you get under those lower historical volumes end up being way too high based upon what the true value of the inventory is. We had essentially what amounts to a one-time benefit to that level of impact of 110 basis points.
Seth Weber - RBC Capital Markets, LLC: And then when you talk about the modest increase in margins for 2011, is that off of the full year number that includes the 110 basis points of benefit?
Carl Laurino: Yes.
Seth Weber - RBC Capital Markets, LLC: The question is really is there any more color on the order number that came in for the quarter? Obviously, I think stronger than what I was looking for certainly. Any color on type of equipment or region, and is there something significant that happened at the end of the quarter? Do you think there is some tax buying? I mean is there any other color you can give us? And then the follow up to that is, we have one month of the first quarter in the books already, did the trends continue into January?
Glen Tellock: Good question. I think when you look in, I'll let Eric mention a little bit about the strength of the orders in the fourth quarter. But when you look at across the base, it was broad-based on a lot of the products and geographies. The one thing that we did see in the fourth quarter, which is a normal event for us, which is called the winter stocking program on some of the Tower Cranes in Europe, that was when you compare this year versus last year, a much better story this year than it was last year. But again you mentioned the tax activity, I know of a couple of situations where that took place, but I don't think some of the orders that we got, I don't know that they necessarily said that one way or the other, but I do know just a couple specific instances but that's not what we're driving, I think, the majority of it. Eric, do you have anything to add to that?
Eric Etchart: No, I think these orders came from a broad base. We had some, obviously, restocking in North America. We were expecting that following the trend of the inventory in the last couple of months. But it's nowhere near it has been in the past, let's be very clear. We were pleasantly surprised by the [indiscernible] -- in Towers in Europe, which is typically we have a winter campaign, and that reflects, I think, the very shape of the Tower Crane business because that was the first product lines really dropping two years back. And now we see some countries where demand is stronger and I think our dealers are preparing for some kind of uptick. But globally, obviously the emerging markets also drove a lot of orders in the quarter.
Seth Weber - RBC Capital Markets, LLC: Is there any particular commentary on the Crawler business that you could share?
Glen Tellock: I don't think there's any particular comment. I think when we look across that, it's pretty general just like it has been over the past six, nine months. So I don't think there's any particular comments that we have on that.
Seth Weber - RBC Capital Markets, LLC: So Crawlers contributed to this increase in order...
Glen Tellock: Yes, no doubt.
Seth Weber - RBC Capital Markets, LLC: And just lastly, I mean were there any $50 million order? Were there a couple of large order, $50-millionish type orders that kind of hit in the quarter that maybe one off type stuff or was it all business as usual?
Glen Tellock: No. It was all business as usual. There was no significant order that moved the needle.
Seth Weber - RBC Capital Markets, LLC: And then for January?
Carl Laurino: We report our backlog quarterly, Seth.
Seth Weber - RBC Capital Markets, LLC: Have trends continued into January here?
Carl Laurino: What I would say and obviously Eric can add to this, but my belief is that I think a lot of the things that we had been seeing in the business that we viewed as signs of optimism, that we would see an inflection point and start to see this business grow in the second half of '10 has been manifesting. So I think it's a reflection of what's going on in the market.
Operator: Next we'll hear from Charlie Brady with BMO Capital Markets.
Charles Brady - BMO Capital Markets U.S.: With respect to the Foodservice business and the Kysor business now discontinued operations and your outlook for '11, can you give us what the impact that Kysor was on Foodservice revenues and operating income for the first three quarters of 2010? So we can compare with our 2011 outlook?
Carl Laurino: I needed a full year, I have that right in front of me, Charlie, was roughly, a little over $190 million in revenue and about $7.5 million in operating earnings. Roughly $10 million of EBITDA, full year.
Charles Brady - BMO Capital Markets U.S.: With respect to the commentary about continued rightsizing in Foodservice, can you expand on that? What are you really referring to that, is it just small kind of small stuff you're looking at or is there something more there?
Carl Laurino: Charlie, we have a publicly stated plan and vision that will drive the reduction in the number of operating companies that existed when we acquired Enodis. We see an opportunity, not just for cost reduction associated with those consolidations, but really a business strategy so that products can evolve together. A good example would be the combination of three ovens companies this past year into a singular larger operating company. It will also include, over time, the continued implementation of a manufacturing strategy that will upgrade manufacturing plants. It will reduce our footprint and it will put more manufacturing capabilities into the markets that are being served. So it's a combination of issues.
Operator: Next we'll hear from Robert Wertheimer with Morgan Stanley.
Joseph O'Dea: It's Joe O'Dea on Rob's team. Maybe first if you could just touch on Chinese competition in Cranes globally and the extent to which you're seeing Chinese manufacturers competing for business outside of China? And then maybe in those regions, the sort of level of pricing competition.
Glen Tellock: Well, I don't think, Joe it's any different than what we've seen in the past. I mean the business in China is very robust right now and so many of the Chinese manufacturers are competing within themselves in China. Where you'll see most of the Chinese competition is in the emerging markets, and you're not seeing them dramatically in the mature either Western Europe or the United States yet. But the pricing is more aggressive. But I think that as any new entrant comes into a market, I don't think that's unusual. So I think it's no different than what we've seen from the middle of the year, late last year. It's pretty much what we've seen on a pretty consistent basis. Eric, do you have anything to add on that?
Eric Etchart: No. I could add maybe that the Chinese are now offering all terrain cranes in China market and the market has grown. But they have not made any significant success in the export market in all terrain cranes. So that success really has been in the emerging markets, primarily for towers and small course, I would say.
Joseph O'Dea: Just to follow up to dig into Crane CARE a little bit and the extent to what you're hearing from customers with early indications of orders that Crane CARE is contributing to your winning orders and any extent to which you're able to, sort of, compete better even against lower price competition because of Crane CARE?
Glen Tellock: Well, that's the strategy of that, you look at whether it's Crane CARE or any of the -- even the initial product itself, we talk about cradle-to-grave and that's what the total cost of ownership goes towards. One of the things that people forget about in the long term is really what's the residual value and that's still what we have. We have products that with brand names that are worldwide and people can sell their products on a used market worldwide and that's held through the downturn. So again that's what we have to go through and you're seeing a little uptick in the Crane CARE side of the business as we chatted about because the utilization's are coming up. The Cranes are going back to work. And I think when that happens, again that gives us the one-up, to say, "Hey, look at how this has been supported and look at how you have opportunity to continue to use these cranes in good times and bad." So again, we look at it as a differentiator and we'll continue, as I said in my remarks, to focus our objectives in 2011 both on the Crane CARE side of the business in Crane and the global expansion of the service strategy in Foodservice.
Joseph O'Dea: And then just a clean-up question, what was the FX impact on Crane orders in the quarter?
Carl Laurino: Nominal.
Operator: We'll move on to Nicole DeBlase with Deutsche Bank.
Nicole Deblase - Deutsche Bank: I just wanted to build a little bit on Seth's question from earlier on the Crane orders that you sold during the quarter. Could you talk a little bit about the embedded margins and the pricing that you saw in those orders?
Carl Laurino: I think pricing overall for us recently as you'd expect in a trough year is you have pressure on pricing. It is always the case when there's available capacity in the industry. I think we have reasonably good margins for the types of products that are in the backlog. But there's pressure in this environment that we're just building off of obviously the early signs of recovery with the first year-over-year growth in the quarter that we've seen for quite a while.
Nicole Deblase - Deutsche Bank: But the backlog margins are in line with your outlook for full year Crane margins in 2011?
Glen Tellock: Yes.
Nicole Deblase - Deutsche Bank: And then could you elaborate a little bit on the impact of raw material inflation that you saw within both Crane and Food during the quarter? And then what you outlook is there for 2011?
Glen Tellock: On the quarter, it's not significant. I think pretty much many of the -- much of the inflation anybody has talked about has been in check throughout most of 2010. As we go out into 2011, I mean, as Carl said, when you look at the margins going out, he mentioned some of the things with the commodity cost being one of the variables in that. I mean, you're seeing things whether it's in Foodservice, on copper, aluminum, we're looking at steel. I mean we can make our best projections and then we look at the overall market. So I think we have some of that, that goes into our projections in the margins. But again if you just look at the broad global markets inflation shouldn't be a huge factor, but it will be a little bit of a headwind in 2011.
Nicole Deblase - Deutsche Bank: The debt pay on gains that you guys have given because you're getting that income from the Kysor sale, that implies only about $50 million organic free cash flow, is that correct and is that really being driven by working capital not really much room to reduce there?
Glen Tellock: You'll get a little more on that because obviously on the Kysor/Warren you have the tax effect of that. So it doesn't all just drop to the reduction of debt. But it is a balance between what is the income and then what is the use of working capital in 2011 as the business picks back up. But that's the challenge we have as we start to ramp up. There's that happy medium between making sure that you have the supplies on hand, if the suppliers ramp up also versus what do we hold in inventory. And I think we've tried to be a little conservative on that to say that we will have the use of working capital for those benefits in 2011.
Operator: Next we'll hear from David Wells with Thompson Research Group.
David Wells - Avondale Partners: Just jumping back on a comment that was mentioned earlier in the call, did I hear correctly that you're seeing some actual rental houses see their rental rates turn positive on a year-over-year basis?
Glen Tellock: Yes, there's some of that. I wouldn't say that it's a -- I think the comment that Eric made was you're seeing the utilization rates that get near reinvestment level and there have been some improvements in the rental rates now. Again, they're certainly not to where they were in 2007, 2008. But they are better than what they were 12 months ago.
David Wells - Avondale Partners: From that perspective, do you feel like that, that customer then has enough, I guess, visibility or certainty to effectively do kind of an IRR calculation on bringing a new asset on to the balance sheet?
Glen Tellock: Well, I think you have to look at everything in total. You have to look at what the person has in inventory. You have to look at what the rental fleet is consisting of. Is it smaller pieces of equipment, is it the bigger pieces of equipment, what it's about, what did they do during the downturn? Many people sold off pieces on their fleet. They're trying to energize their fleet and get a newer overall age of their fleet. So everybody's got a different perspective as to what's happening. The other one that Eric talked about with respect to orders is the restocking of the dealers in the United States other than large towers everything goes through a distribution. And most people, their customers are coming to them, it's hard to sell out of an empty cupboard. So they have to restock to a certain level. Now it's not going to be where they were in 2008, but it's certainly going to be a happy medium between 2008 and where they are today. So that all plays into it. And the last thing is some of the financing has improved. Some of these people have their balance sheets back in order and they're looking at it and saying hey, this is a good time to buy and that's where, whether it's on the outside or whether it's through Manitowoc Finance. I mean we have that as an alternative. So I think all of those go into play, not just the rental rates by themselves.
David Wells - Avondale Partners: Just looking at the CapEx forecast for next year, still running meaningfully below the D&A levels of the business. Do you feel like you're going to reach a point where you have a pretty significant amount of catch-up CapEx that we have to do in 2012? Or is the kind of D&A effectively maybe overstated, given some of the efficiency cost cuts that you've done?
Glen Tellock: I think when you look, David, at many of the things that we did in 2006, 2007 and 2008 with respect to the Cranes, a lot of improvement was made in the manufacturing processes. It was made in manufacturing equipment. In 2002, 2003, we consolidated a lot of facilities, we got into India, we got into Slovakia. So all those investments have been made, China, we had a new factory in China. We did the same with Foodservice. So many of those are behind us, where you're seeing, when you had the maintenance CapEx. But a lot of these are specific investments. We talked about additional investments in China, Brazil. There's the things that Mike just talked about on his strategies within whether it's operations or manufacturing. So I don't think -- we are not under-investing our business, we're just making investments the right time. The other thing that Cranes has going on is the worldwide SAP implementation, which has been commuted a little bit over the past 18 months. That again will take some of the CapEx, as we get to the latter part of this year and then into 2012. But I don't think we're under-investing at all.
Operator: We'll now move on to Ann Duignan with JP Morgan.
Unidentified Analyst: It's Ingrid Aja in for Ann. I wonder if you could just talk about the incrementals you're expecting in Foodservice, are there any strange one-time items in 2010 that would make not an apples-to-apples comparison that we should be aware of?
Carl Laurino: Yes, there is. We had the rollout that was significant in the first quarter of '10. That makes that specific quarter a difficult comp. And then as you look at our comment that we expect to show year-over-year margin growth, that goes throughout the balance of the year that overcomes that headwind that we expect in the first quarter of 2011.
Ingrid Aja - JP Morgan Chase & Co: Will you be restating the other three quarters in the future for Foodservice?
Carl Laurino: Restating?
Ingrid Aja - JP Morgan Chase & Co: For the sale of the Kysor/Warren?
Carl Laurino: Yes, we will.
Ingrid Aja - JP Morgan Chase & Co: Then just finally, on the Crane side. What kind of incrementals can you get there once you kind of get over the hump of these one-time items you had in 2010? And you had this quarter 110 basis points and then two quarters ago, there was a one-time item, so I'm just trying to get an idea of what kind of incrementals you could get maybe going into 2012?
Carl Laurino: Part of the reason for that commentary is between those items and investments that we do expect to make in a growth environment versus the contraction environment will drive what we're characterizing as much more modest incremental margins that we expect as we get a little bit further into the upturn.
Operator: Your next question comes from Joel Tiss with Buckingham Research.
Joel Tiss - Buckingham Research Group, Inc.: Two questions. One on Cranes, did you think there's enough strength in the industry that it's kind of an across the board, the competitors are going to feel the same kind of uptick? Or is there anything that's a little more specific to Manitowoc like you're Shady Grove open house day and things like that?
Glen Tellock: I certainly can't speak for the competitors. They didn't tell me anything over the last quarter.
Joel Tiss - Buckingham Research Group, Inc.: Why would they?
Glen Tellock: We didn't tell them anything either. I don't know, Joel. I think to Eric's comment, I think that's what you're going to see at CONEXPO. My guess is the one thing that may drive some of the people at the end of the year would be on the mobile side with the tier four engines. That could have driven some of that. But I just don't know. I don't know enough about it. I think some of the things that we talked about mid-year, are what we were focused on. But I think first thing in the uptick, the people are talking again. We're competing on deals. I mean, yes, we don't get every get every deal. So other people have gotten some product out there. I'm sure that anybody else you would talk to in the industry would say, "Yes we're seeing better conversations. We're seeing better trends." Whether it's come to a fruition or not, I don't know, but I would tell you that the folks that I talk to in the industry are all, you smile a little bit more today than you did 12 months ago, that's for sure.
Joel Tiss - Buckingham Research Group, Inc.: And then a similar kind of question on Food. Is the competitive environment changing a little bit? And I'm really just asking because we saw a real divergence between what you guys are seeing and what we saw from ITW yesterday. And I know they're in a little bit of a different segment. But they changed out their CEO. It seems like there's enough divergence here where maybe there's a little bit of color you can give us on the competitive environment?
Mike Kachmer: I don't see any major changes. We've got a strong set of competitors out there. There certainly are more evolving trends occurring in Asia than there are in the Americas markets. But we've got a vision that's multi-year outlook. And so far, we're on track and we're going to stick to our plan and it's focused on all the things that we've conveyed strongly so far.
Glen Tellock: I think, Joel, the one that I would add is and I just recently came back from China is when you look at some of the conversations I've had with our people in the Foodservice side, the fact that they can combine many of the product lines instead of being a smaller one off, they get to combine. What Michael is trying to do is trying to get the cross-selling of all the product lines. And I think that's taken hold in some of the regions and some of the geographies. So I think that's driving it. Again not to rehash, but we've only been at this with the Foodservice acquisition since October 2008. We're still pretty young in this infancy and so far so good. And that's why I think we expect more to continue in those efforts as we get into 2011 and beyond.
Operator: Next we'll hear from Robert McCarthy with Robert W. Baird.
Robert McCarthy - Robert W. Baird & Co. Incorporated: I wanted to follow up on an earlier question on incremental margins. If you look historically, I think there's some evidence that the Crane business recovering environment is capable of at least 15% to 20% incremental margins. Is there any reason -- I hear you on recovering some deferred spending from this past year, et cetera, in 2011, rising R&D. But is there any reason you would dissuade us from expecting at least a 15% incremental in 2011?
Glen Tellock: Obviously this downturn was a little bit more severe than previous ones that we've seen. We did defer some things and take some actions in a more highly leveraged balance sheet circumstance that obviously you can do in the short term, in a crisis mode. But when you're in recovery, some of those things need to be put back in place for you to maintain the same kind of competitive footing in the market, that would be my comment to that question.
Robert McCarthy - Robert W. Baird & Co. Incorporated: My thought was that potentially offsetting that is that you've got a larger fixed cost base in place today. As Glen referred to the capacity that you're putting in place in '06 through '08.
Glen Tellock: That's a true statement as well. And the other thing that's obviously a wild card as it always is, is mix and some of the commodity pressure that we talked about that obviously, nobody's got a perfect crystal ball on all issues.
Robert McCarthy - Robert W. Baird & Co. Incorporated: I wonder if you could help us with profiling a couple aspects of the business. In Foodservice, there was reference earlier to a particularly strong outlook, at least, from some prognosticator and Quick Serve and Limited Service segments. I'm wondering, how much of your business today serves those markets in round numbers?
Mike Kachmer: It's around 60, Rob, globally. It's not a precise number, but in round numbers, it's in that range.
Robert McCarthy - Robert W. Baird & Co. Incorporated: And similarly, you've talked in the past about your emerging market exposure in the Crane business, could you update us there, Carl or Eric?
Eric Etchart: We certainly have a very global presence and that's only one of the strong assets that we have and that's a result of our investments. So we have a broad coverage and we are very active. And we continue to invest as we said earlier in China and in Brazil and other emerging markets because the demand is very strong there.
Robert McCarthy - Robert W. Baird & Co. Incorporated: But my understanding is that aren't we up -- haven't we gotten to about 30% of that business in emerging markets?
Mike Kachmer: It's actually a little bit higher than.
Eric Etchart: It's higher than that, Rob.
Robert McCarthy - Robert W. Baird & Co. Incorporated: Is 50% too high?
Eric Etchart: Yes.
Glen Tellock: Yes.
Robert McCarthy - Robert W. Baird & Co. Incorporated: Can you give us any kind of help on your expectation for tax rate in 2011?
Glen Tellock: That's a great question, Rob.
Mike Kachmer: We need some range here, Carl, help.
Carl Laurino: I think if you wanted a bracket, a number, I would say U.S. statutory rate would probably be reasonable based upon where we expect the revenues and the profitability to come from around the world in 2011.
Operator: Ted Grace with Susquehanna Financial Group has our next question.
Ted Grace - Goldman Sachs: Just a couple of quick follow ups from 4Q orders. If we were to talk to the dealers, would they highlight any material changes in your terms, whether it's extended payment dates or unusual incentives in the quarter relative to recent history?
Eric Etchart: No. There was nothing different than the normal business.
Ted Grace - Goldman Sachs: And then just turning towards the material side of things. Could you just maybe calibrate our expectation, specifically on where your price now for high tensile steel and hot-rolled and any supply chain constraints we should be thinking about?
Glen Tellock: I think two that come to mind. One is the steel that you mentioned that's mid to low-single digits is what we have baked into our plan on the impact for 2011. The other one is a little bit on the transportation and logistics. I think we've had some very good successes. Over the past couple of years, and I think just from that industry as a whole, ticking up a little bit. You're in a fight to maintain some of the benefits you've had over the past couple of years. But other than that, again, that's not huge but it could be low single digits again. So those are two that quickly come to mind.
Ted Grace - Goldman Sachs: Whether it's Glen or Eric or Carl, can you give us a ballpark for where you're pegged right now in terms of what you're paying on either high tensile or hot-rolled, so we can calibrate mark-to-market, if you will.
Glen Tellock: We'll have to get back to you on that one, specifically. I don't have it off the top of my head. But we do get that on a regular basis.
Ted Grace - Goldman Sachs: And then the last thing I would ask is in terms of delivery times, if you could just give us a sense for how you should think about, kind of, on the core side of crawlers, whether it's 777's or 999's, 2250's, 14,000's, the kind of the other key products whether it's AT's or the towers, kind of what delivery times look like at this point?
Glen Tellock: Delivery times across the product line?
Ted Grace - Goldman Sachs: Yes.
Glen Tellock: Obviously, those are spread across regions. They're spread across the product line. But it's certainly not anywhere where it was again at the end of 2008 or 2007. But other than anything that's enormous size, I can't think of anything that's gone out more than four, five, six months.
Ted Grace - Goldman Sachs: The last thing I wanted to ask is could you give us some specifics on the dealer utilization rate, I know on prior quarters, Carl has kind of spoken of some statistics there. I didn't catch if Eric had mentioned those. But any insight you can give us beyond the public guys, like an Essex or H&E where if you look at their dollar or time utilization statistics, there's still fairly helpfully depressed. That'd helpful because it's hard to reconcile it to what I interpreted as more positive comments on what you're seeing across the dealers.
Carl Laurino: We would typically see some seasonal softness in the utilization rates, obviously, given the normal seasonality and we saw that in 2010. But overall, I don't think there's anything from an end user demand standpoint that seems to be concerning.
Ted Grace - Goldman Sachs: But could you actually point a specific -- I think before you talked about having 70% was the threshold of which you typically see new order cycles kind of increase. I certainly, I'd be surprised if you told me we're near those utilization rates but any clarification would be great.
Glen Tellock: I think you mentioned H&E and Essex and I know Essex there's that little bit of a difference. You talked about the dollar utilization. When we give you the statistics, we're looking at just the specific number of cranes versus what's out on rent. So just from a unit utilization, those numbers are upwards. They had been over the past six months, upwards of the 70% range. Now when we talk about whether they're going to be reinvesting that gets up to the 75% to 80% range of just unit utilization. So I can't speak for H&E and Essex specifically on theirs because I know they have a different method of how they're going about it. But I can tell you that on a unit basis, those numbers are, I think, Carl or Eric mentioned that they are approaching those reinvestment levels. So we're still seeing them up around the 70% level.
Ted Grace - Goldman Sachs: Because I guess the way that they disclosed is, it's time utilization. And I think last quarter they're more like the 40s or 50s.
Glen Tellock: That's always going to be a little lower than just the unit utilization.
Operator: Charlie Rentschler with Boenning and Scattergood has our next question.
Charles Rentschler - Boenning and Scattergood, Inc.: Can you discuss how you're going to allocate cash from operations in 2011? You've mentioned CapEx, Carl mentioned paying down the debt $200 million. But I was particularly interested in accounts payable and also I guess you're going to have to reinvest in accounts receivable and inventories as you start to grow?
Carl Laurino: Yes, Charlie, I think we continue to believe that there should be some benefits in an expansion environment where we might have some opportunities with some of the lean manufacturing principles, Six Sigma, to improve some of the term characteristics. So hopefully the pressure, depending upon the growth rates, won't be too extreme for us to consume a lot from a working capital standpoint. But the priority obviously at this level of leverage will continue to be on debt reduction. As a key priority, obviously, we are guiding to a higher capital expenditure rate, which we think is appropriate based upon the opportunities that we see. So as you know, when we find something that fits the strategy, we are not shy about investing. But I think the key priority, the first priority will be -- is to continue to get the debt down.
Glen Tellock: I think, Charlie, going back to just up from a strategic standpoint, if you look at how we manage the balance sheet and when you talk about that from our EVA culture, Mike and Eric and their teams, they recognize what they need to do on the balance sheet, as well as they do on the income statement. We measure a lot of the metrics from a cash GAAP standpoint. So we're looking at the days in inventory versus the days in receivable. And I think while we can get some benefits, you've got to remember when the market went down as severe as they did, we did hang on to some inventory. We've worked our way through some of that. And to Carl's point, many of the manufacturing things that we're doing now, plan for every part and a lot of the inventory issues, those can offset some of the increases you may see in receivables or in payables. People stretched their payables during the downturn just like they stretched their receivables. And we get caught up on that too. So I think we're trying to manage that cash gap in the same metric that we had and actually improve it if we can. And that's less inventory and faster turns on receivables. So there's going to be -- we want to minimize that increase in working capital but we know it's evident if the business is going to grow like we think.
Operator: Our final question will come from Henry Kirn with UBS.
Henry Kirn - UBS Investment Bank: With respect to the Crane revenue guidance. Is it possible to quantify how much of that growth is expected to come from the dealer restocking?
Eric Etchart: It's not significant. We've seen and we expect to see a little more, but again it's nowhere near what we have seen in the past. So there is a better confidence and, as you know, dealers are positioning themselves to be able to capture some of the business that is coming off some of the projects that I've identified for 2011. But again those lower intake is really a broad reason of our global prices. It's not very simple.
Henry Kirn - UBS Investment Bank: And switching over to Foodservice. As the customers attempt to grow in the emerging markets, what kind of mix are you envisioning for your 2011 revenues between developed markets and emerging markets?
Glen Tellock: I'll make the comment and obviously we're much less global in Foodservice than we are in the Crane business. I think we've got some great opportunities to exploit some of the things that are going on in the emerging markets. But I think as you look at it as a percentage of revenue, defined the same way as we do in the Crane side, probably a low double digit percentage of the overall business today.
Operator: That will conclude our question-and-answer session. I'll turn the conference over to Mr. Khail for any additional or closing comments.
Steven Khail: Before we conclude today's call, I'd like to remind everyone that a replay of our Fourth Quarter Conference Call will be available later this morning. You can access the replay by visiting the Investor Relations section of our corporate website at www.manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in the Manitowoc Co. We look forward to speaking with you again during our first quarter conference call in April. Have a good day.
Operator: This does conclude today's conference call. Thank you for your participation. And have a nice day.